Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers’ Investor Conference Call to discuss results for the Third Quarter of 2015 and the recent developments. During today’s presentation all parties will be in a listen-only mode. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting on or before noon of November 05, 2015 in the Investors section of Research Frontiers’ Web site at www.smartglass.com, and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking statements information. The words expect, anticipate, plans, forecast and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company’s current beliefs, and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause the results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call either in their presentation or as part of the Q&A session at the end. [Operator Instructions] Also we ask that you keep your question brief in the interest of time. I would now like to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thank you, Dan. And good afternoon everyone thanks for being here today. Joining me today is Seth Van Voorhees, who is our CFO and also heads up our VariGuard division. As our business ramps up and our shareholder base expands to include more institutional investors we wanted to move more in line with what most public companies do with their quarterly investor calls. You might have noticed that we’re shortening the period of time between when we file our quarterly results and when we have our investor conference call, and this is in line with this objective. With that said we'd like to start the call today with a brief recap of our quarterly highlights. Let me first discuss results in our highest revenue market, the automotive market. In our previous investor call for the second quarter which we held in early August we gave forward-looking guidance that we expected that this third quarter would see production start on two significant contracts. Number one, the high volume S-Class Sedan known internally at Daimler as the V222 and here in the U.S. as the S550 and also contract for the King Air 250 which is the first aircraft to have our SPD smart technology as standard equipment. Both of these key milestones were in fact achieved on schedule in the third quarter. We’re very happy to announce today that our licensee Asahi Glass Company has now started delivering SPD-SmartGlass WONDERLITE roofs to the high-volume V222 S-Class Sedan. This is probably the most significant event so far on our history from a revenue standpoint. Asahi's production and deliveries of the SPD-SmartGlass for the V222 roof started at the end of the third quarter, so we expect revenues to be higher next quarter as car production ramps up and we see a full quarter's worth of sales and royalties. In the third quarter Asahi also produced Magic Sky Control roofs for the S-Class Coupe which hit the market in November 2014 and the S-Class Maybach which was introduced earlier this year in April. Further, our licensee Pilkington is the one who produce SPD-SmartGlass roofs for the SLK and SL roadsters using our technology. We’re pleased to report to you that actual production was over 20% higher on these vehicles than the original projections given to our licensees. As mentioned the automotive industry is our highest revenue market. Let me help put where we’re in this important segment in context. SPD-SmartGlass was introduced in 2011 on the SLK roadster and based upon the success by Mercedes with the SLK it expanded to their flagship SL roadster in 2012. Total annual production of these vehicles combined is about 30,000 vehicles. As we've discussed in the past in order to help investors understand and model our business Research Frontiers receives a royalty of between $100 and $150 per car for these roadsters. If we look at the first two S-Class variants that were introduced with our technology in the past year the S-Class Coupe in the fourth quarter of 2014 and the S-Class Maybach in the second quarter of 2015 this represents total annual production of about 20,000 to 25,000 vehicles. So they are similar in volume to the roadster market but because of the greater surface area of SPD-SmartGlass, we received a royalty that ranges between $150 and $250 per car. It is encouraging to note that Mercedes has already purchased the multiple of the roofs with our technology above their originally estimated take rates for the S-Class Coupe and the S-Class Maybach is selling in China alone more cars in a month than they used to sell worldwide in a year. But of the four models I mentioned, the SLK, the SL, the S-Class Coupe and the Maybach represent a total of about 50,000 cars per year in total annual production, the highest volume variant of the S-Class the V222 or the S550 as it’s known here in the U.S., represents about 80,000 to 100,000 vehicles. These large volumes especially relative to cars that have come before it is why this past quarter it started production of Magic Sky Control SPD roofs for the V222 S-Class it is such a significant event for us all. What can the introduction of the high volume V222 S-Class Sedan mean to us? Well given that we’re in the business of licensing patented technology we have limited capital needs and fairly predictable and modest expenses. To be cash flow positive only requires about $5 million and to be profitable $6 million to $7 million in revenue. From there everything falls to the bottom-line. I think that this nice feature of our business is beginning to be better understood by a wider group of investors. So depending upon the take rates for the V222 S-Class Sedan, this car alone has the potential to make us not only cash flow positive, but in fact profitable. Moving now to our second largest market in terms of revenue generation, the aircraft market. Let me now report on the accomplishments in this market and help put some of the numbers in the aircraft market also in context. In the aircraft market in the third quarter, our licensee in InspecTech began delivering SPD iShades Electronically Dimmable Windows or EDWs to the King Air 250. We have standard equipment on that aircraft and it came out right on schedule. Looking at just the three new aircraft from industry giant Textron that use SPD-SmartGlass as standard equipment. At a 15% royalty rate or depending upon the window a royalty of about $150 per window these aircraft represent an estimated $240,000 in annual royalty revenues to Research Frontiers. The Textron Beechcraft King Air 250 entered into service for customers in the third quarter of 2015. There are about 35 of these aircraft produced annually and 12 windows per aircraft totaling about 420 windows per year. In the current fourth quarter of 2015, the King Air 350i enters into service. There are about 70 of these aircraft produced annually and 15 windows per aircraft, totaling about a 1,050 windows per year and next quarter the King Air C90 GTX enters into service for customers. There are about 25 of these aircraft produced annually and seven windows per aircraft totaling about 175 windows per year. One thing to add about these aircrafts besides the revenue potential, the King Air 350i used to use electronic technology and this was taken out of the aircraft and replaced with SPD which has now become the technology of choice for new aircrafts. Clearly the trend has been towards using SPD technology first in the automotive industry and then in the aircraft industry. So what about the future? We’re also standard equipment on the new HondaJet, scheduled to come out in early 2016, and the Falcon 5X from Dassault, scheduled for delivery to customers in 2017. Right now, five aircraft OEMs have signed contracts, three of which have already been announced. And seven of the eight aircraft models that are under contract to use SPD, have it as standard equipment. There are 17 additional aircrafts that are currently under advanced consideration to use SPD windows. Some of these 17 models are business jets, some are helicopters, and some are commercial aviation aircraft including both single-aisle and dual-aisle jetliners. As a result of this and other activities, royalty income for the first nine months of 2015 has already exceeded the entire royalty income level for the full 12 months of 2014. This is certainly a nice accomplishment to build upon and we expect that our fourth quarter revenues will be better than the third quarter because number one, we will have a full quarter’s worth of sales and production of the high volume V222 S-Class Sedan and also the King Air 250 from Textron. And also second, the highest volume King Air, the King Air 350i will enter into service in the fourth quarter. There are twice the number of 350is produced by Textron every year than the 250s and each 350i has about 25% more windows. And if the fourth quarter is expected to be better than the third quarter, the first quarter of 2016 is expected to be even better than the fourth quarter of 2015 because in the first quarter of 2016 we’ll have a full quarter’s worth of production of the 350i and the introduction of the King Air C90 GTX and the expected delivery of the HondaJet with 80 to 100 of these jets expected to be produced annually. So things look good from a revenue standpoint and we believe the rest of this year will reinforce that we have moved as a company through this key inflection point in terms of product adoption and revenue. Some other accomplishments to note this past quarter. In the third quarter our VariGuard division headed up by Seth Van Voorhees completed its largest project to-date. 22 display cases for the Mormon Church Museum. Also this past Thursday the USA Pavilion at the Milan World’s Fair welcomed its 6 millionth visitor. It continued to be the Pavilion that has attracted the most visitors in all of Expo Milano. It has also hosted royalty, a congressional delegation, U.S. cabinet members, the head of NASA and the European Space Agency and such dignitaries as first lady Michelle Obama and more recently Secretary of State John Kerry. It has brought an awareness of SPD-SmartGlass front and center to millions of people and key decision makers around the world. It has also captured the hearts and minds of the world's architects, designers and property developers. We've seen a noticeable uptick in projects in the architectural area for our SPD-SmartGlass since this project was introduced. For those of you who have visited the USA Pavilion it's a remarkable structure that has won architectural and other awards. There are 312 SPD-SmartGlass panels, made by Isoclima each measuring 1 by 3 meters. Visitors to the USA Pavilion can experience the magic of operating its smart window by touch screen that allows them to control 24 of these large panels. This past July brought a tremendous heat wave to Italy. To close ahead of the USA Pavilion we and our visitors were saved by the remarkable SmartGlass roof and even after millions of one-off cycles in the intense sheet of the Milan’s done all of the panels are still operating perfectly. This was another great project that highlighted the reliability and superior performance and benefits of SPD-SmartGlass. The USA Pavilion would come to a number of product launches including in one in August by Zuli a company that we made relatively small investment in and they make sophisticated smartplugs. Their Zuli Smartplug is the only smartplug optimized to use with SPD-SmartGlass and allows you to control your windows as well as your lights, thermostats and other electrical devices with your smartphone. A massive report that the Zuli Smartplugs is now being sold at Lowe’s home improvement stores across the country. About three weeks ago Research Frontiers also hosted the SPD Licensee Industry Conference at the USA Pavilion. The event was very well attended and included senior executives from our licensees around the world including Atachi Chemical, Asahi Glass Company, Cricursa from Spain, DIC and Sun Chemical, GKN Aerospace, iGlass from Australia, Isoclima from Italy, Pittsburgh Glass Works, Saint Gobain from France, and Smart Glass International from Ireland. We felt that the entire SPD industry could benefit and build upon its success through collaboration and knowledge and I must say that judging from the comments we received from our licensees the SPD Licensee Conference exceeded everyone’s expectations and further energized our growing industry. Now before we open the conference call up for live questions for those participants on the line, I thought I would answer some of the questions that we received via e-mail. I have been asked to comment on the prospects of other automotive OEMs besides Mercedes adopting SPD on their cars. First let me say we appreciate the steady growth within Mercedes of the Magic Sky Control roof option using SPD-SmartGlass. As you can see we've gone from moderate volume growth to now be in the high-volume Sedans. We've also said in the past that it remains true to-date that we and our licensees are working with all the major premium automakers around the world and not just in Germany where 80% of the market is. These other OEMs understand SPD technology based on our work together, they also understand the supply chain and who our world-class licensees are to supply them with SPD-SmartGlass in fact it's their current suppliers. I'm sure that they would take great comfort in the fact that SPD-SmartGlass has been put in serial production in now four different models of cars and with tens of thousands of these cars on the road for years now without any reported problems. These OEMs have access to even better information than most and understand the success that Daimler has had with Magic Sky Control and in the SLK roadster the SL flagship roadster the high-end S-Class Coupe and the high-end S-Class S600 Maybach. And all this is another reason why today's announcement that production started in the third quarter for the S-Class V222 is so important. This represents the first high-volume car to put SPD into serial production. And we've said in the past that these and other OEMs have told us directly that they are watching Daimler's experience and success with the S-Class very carefully to determine when they will launch their own cars with SPD. So while it may be premature on these and other -- to comment on these and other automotive OEMs other than to say that we’re optimistic that they'll reach the same conclusion as Mercedes about the performance and market benefits that SPD offers, we’re highly optimistic and you've seen a number of I think media reports that discuss SPD in various context. So I think the industry is certainly moving in this direction. The next question comes regarding the aircraft market, it says when the retrofit market for SPD aircraft windows becomes significant, in your opinion will Research Frontiers provide a line item breakdown for revenue in this area. I ask because you have stated that the retrofit market has many times the potential of the OEM market. First let me emphasize that the question correctly states that the retrofit market for SPD aircraft windows can be many times the size of the original equipment market. To give you an idea about this relative size differential, if Textron makes about 200 to 300 Textron King Air aircrafts per year there are an estimated 6,500 to 7,000 of them flying around. During maintenance checks and also when these aircraft change owners, these are logical times to expect upgrades of the window change to SPD EDWs. Regarding line item reporting, we will of course try to give shareholders as much information as possible about where our revenues are coming from. Also the SEC rules govern when we can and must break down information for specific business segments. The next question is can you give us an update on progress being made for sun-visors for the automotive market? For as many of you know Vision Systems our licensee has been spearheading product development in this area and announced that they initially developed its visor for the truck market in conjunction with the major truck manufacturer. Since then they have added functionality such as an increased control and even ability of the sun-visor to be self powered using transparent foldable takes. They’ve also expanded this to the other markets that Vision Systems is licensed for namely Aircraft & Marine Applications and are happy to say that the sun-visors is being very well received in all of these markets. The next question deals with cost, where do we see the cost of our technology going? Well first let me say that each market has its own cost structure. In some markets such as aircraft SPD EDWs are not only cheaper than other EDWs and I might say those EDWs don’t perform as well as SPD. But there are also less expensive than even more traditional shading solutions such as motorized electro mechanical shades. In other industries such as the one our VariGuard division supplies to, the value of proposition is also quite favorable since priceless artifacts need to be protected. If we move to yacht it's very similar to the aircraft market and pricing is also very favorable. If we then move to some of the more cost sensitive markets like automotive and architectural, both of these markets will benefit of course from further cost reductions. However in both of these markets the idea is also to educate the user as to the cost saving benefits from using SPD. For example in the architectural market our glass is more expensive than conventional glass that goes without saying. But the premium to get reduced when one considers that the user will save on the expense of adding interior shades reduce lighting hardware and of course reduce energy and maintenance costs. In automotive reducing heat build up inside the vehicle by 18 degrees is a significant comfort and energy benefit. Doing all this while adding a few inches of meaningful headroom through the elimination of the center sliding shade while not raising the car’s center of gravity results in increased safety and stability of the car. And in hard to shade areas like atriums and skylights were areas where one wants to preserve a premium view such as luxury apartments and prestigious offices, use of the SPD-SmartGlass becomes essential. And as we’ve seen in the automotive industry, costs have come down already in the three short year periods between when the SLK debuted in 2011 and the S-Class Coupe came out in 2014. Our next question, the Milan World's Fair seems to have been a great marketing opportunity and one that has built more widespread awareness to SmartGlass. How do you plan to continue this? Well as I mentioned over 6 million people have gotten the chance to see and operate SPD-SmartGlass at the USA Pavilion at Expo Milano. And by all measures it was a great success. We’ll of course continue to look for high profile, high traffic areas for SPD-SmartGlass to be used. We’re also focusing on near-term revenue goals by building awareness at car dealers about Magic Sky Control to increase even further the take rates for this option. Without going into too much detail, this involves targeted efforts to working directly with Mercedes Benz in Germany, here in the United States and there are other key markets such as China and the Middle East and also focusing on the dealer buying groups and key Mercedes distributors worldwide. We’ll also continue to speak at industry conferences, meet directly with the world’s key architects and starchitects and educate people not only about how smart the glass could be, but what are the performance and other differences among smart window technologies. We became the best selling smart window in the world because of these efforts and we are expanding our marketing staff this month to continue to do this. Next question is about Investor Relations, can you comment on your efforts to bring Research Frontiers to the attention of more investors now that you are beginning to show marketplace success and a ramp up of revenues as more higher volume uses of your technology comes out? Well we’re building awareness in the market among investors, and in the third quarter, we hired MZ Group, a recognized global IR firm with a significant presence in the small cap U.S. market, to help bring the message about Research Frontiers and our technology to a wider group of institutional investors. And I must say they’ve kept us quite busy meeting with new investors. No doubt this was a challenge for them as this past quarter was a challenging environment for the stock market in general. During the third quarter, the Russell 2000 declined about 12% and the Russell 2000 small cap growth index declined over 13%. This third quarter marked only the second double-digit percentage loss for the Russell 2000 growth index since the market bottom in 2009. And even large cap stocks were adversely affected with the S&P 5000 index showing its largest quarterly decline in four years. By comparison, Research Frontiers’ stock was down 5% in the third quarter compared to larger declines across all the major indices. We appreciate all of our long-term shareholders who have taken the time to understand our business and our technology, and understand our path towards creating a much larger enterprise. With the revenue ramp underway, we hope to outperform the market for the foreseeable future. The next question is about a very recent event. Can I comment on the Markman hearing in the Delaware District Court on Monday? This question refers to the patent infringement lawsuit that we brought against E Ink, Amazon, Sony and Barnes & Noble. And as many of you know who follow patent litigation, a Markman hearing is often a key event in a patent litigation because it’s where the court interprets what the words in a patent claim mean. But we can’t comment in detail outside the courtroom because it’s not prudent and also judges don’t like litigants who try their cases outside of their courtrooms. However, I can say that we are more optimistic than ever about the eventual outcome of this litigation. And thanks to our internal team and our outsider attorneys who did a great job at the Markman hearing on Monday and to think of it as sense of timing we look forward to receiving the judges’ ruling sometime around January. Because we’ve already covered a lot of ground and in the interest of time, I’ll be answering some of the other questions that were received by email later on directly with the sender. Now I’d like to ask Dan the operator to open up the queue for any additional questions that we didn’t answer.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. And our first question comes from Matthew Larsen of Morgan Stanley. Please go ahead.
Matthew Larsen: I missed the first five minutes of the conference call I apologize if this information was put forth. But your revenues were sequentially down quarter-over-quarter and also year-over-year. What was the reason for that and what’s your guidance going forward? Because, frankly, I’ve been an investor for many years and have been waiting for frankly a large move up in revenues, not only because of the Mercedes Benz relationship but hopefully other customers coming on, because it should hit the top-line quite rapidly, so, can you comment please?
Joseph Harary: First of all, there is something incorrect about what you said we’re not down year-over-year revenues are actually up almost $0.5 million from last year, so fairly…
Matthew Larsen: No I am sorry on the quarter though, I know for the year-over-year when I say no I didn’t note off your Q that you’re up like 40% or something year-over-year. But it’s still off a very low base okay in relation to your market cap things like that, 1 point, it’s roughly 1.5 up from 1.1, I don’t have the Q in front of me because I am trying to do nine things once here with them. But which is nice I mean 40% top-line is nice but sequentially you guys are down. And I don’t know what…
Joseph Harary: Yes, that’s a fair question, let me address that. Number one, in the second quarter we had a one-time $275,000 fee income from the USA Pavilion. So when you back that out we’re actually up a bit. And also when you consider that the V222 S-Class started production towards the end of the third quarter, there wasn’t a lot of time for that to have a meaningful impact on revenue, which is why we said earlier that we expect our fourth quarter to be higher than the third because of that because we’ll have a full quarter’s worth of production and also because of the other higher volume plans and things that are coming online.
Matthew Larsen: And did you give guidance before I got on I heard just the end of it when I got on the conference call a few minutes late, that you were discussing about -- you were discussing the revenue your projections for the ramp up that you expected for the fourth quarter. Could you just give me that please? [Multiple Speakers]
Joseph Harary: Yes sure let me summarize what is said. I believe I said basically the fourth quarter will have a full quarter's worth of production of the V222 S-Class which is a much higher volume variant of the S-Class, so we think that’s going to have a positive impact on our revenue for the fourth quarter. We’re going to have a full quarter's worth of production of the King Air 250 and the highest volume King Air comes on-line in the fourth quarter that’s the 350i, so we’re going to have revenue from that as well. So those are…
Matthew Larsen: Can you give numbers or projections?
Joseph Harary: No we don't do that. Basically we don't have those numbers until very close to the end of the quarter when our licensees report. So basically this is based on the numbers that we've been given in terms of what is anticipated production rate is for the quarter.
Matthew Larsen: And here is I guess my question, I am a moderately sized investor, but I think that on paper your company and its prospects have an open ended upside, I mean I could just imagine commercial builders, aircraft manufacturers they adopted the SmartGlass it could be exponential as far as the growth, but I've been waiting for a number of years to see it really hit the top-line and even though your revenues have been growing it's from a very low base and it's frankly immaterial relative to the market cap. So given that about a year-ago or maybe less on one of these conference calls you would discuss the Mercedes Benz relationship and how you get royalty of X amount from every sun roof and when they adopted your product for their larger production class of car some instances is if half the people went for this option out of a 200,000 run rate one could do the arithmetic and I did and that might have meant 20 million in revenues or something of which probably 90% hit your bottom-line since you don't have a lot of cost. But I'm still waiting for that. Are you at a position where you can make some sort of projections over the next year based. I mean Mercedes Benz I am sure one could guide -- provide guidance based on their run rate, I mean it's a large company that -- whose sales -- they don't jump around that much, and that’s kind of what we’re waiting for because if one could…
Joseph Harary: I hear where you're going and let me just take this in the interest of time answer that. And maybe that was part of the call that you weren't present for. If you look at what’s been happening so far I will call these niche markets, high volume niche. The roadsters have doubled 30,000 cars a year. The very high-end low volume S-Classes that were introduced in November and in April combined are about 20,000 to 25,000 cars a year total. So now what you're doing is and this is why I think today it's so significant in terms of the V222 because now you're moving to a car where the unit volumes are 80,000 to 100,000 year, and it’s an expensive car so we expect to take rates to be high as well, and that’s kind of where we’re at. We’re moving through this inflection point where we moved from roadsters which are nice revenue but as far as the auto industry is concerned it's a relative niche market today to sedans which is the main event. So that’s why we’re -- the guidance we've given today is that we expect our fourth quarter revenues to be higher and the first quarter 2016 to be higher and I think you're just going to see that keep happening. In the interest of letting others on the call and we could talk offline or by e-mail if you have further questions I'm happy to answer them all. Let’s take the next caller.
Operator: And our next question comes from Dallas Salazar of Atlas Consulting. Please go ahead.
Dallas Salazar: I am kind of wondering if you guys can comment high level on capital allocation if you guys ramp up. So assuming there is some sort of economy of scale as you guys sort of ramp into higher volumes here, can you talk about capital allocation and where you guys see that specifically if you guys would consider the idea of initial pricing gives to maybe distributor or pricing give as an endpoint to drive early adoption. And then I have one more once you're done.
Joseph Harary: Okay well let's talk about capital allocation first. As a licensor of technology we have pretty modest capital requirements, capital expenditure requirements. And of course if there are things that make sense for us to do in terms of expenditures, investments in terms of marketing and other types of incentives we’re happy to consider it. But a lot of that is coming because most of the predictable steady business is B2B business it is coming directly from our licensees like Asahi, like Pilkington like Vision Systems to their customer. So they have those incentives built in as well. And you had a second question?
Dallas Salazar: Yes just sort of I guess along the lines of -- I know you guys can create a lot of dropdown to the bottom-line, and not that much top-line. Where -- and I think I look into the numbers, you guys were going to be cash flow positive before you are earnings positive, and you might have said that on the call. Where I guess -- are you guys just adding that to the balance sheet, where is that going to go are you guys going to manage the company sort of to breakeven for a while to increase growth or are you guys looking to become an earnings story, I guess I know…
Joseph Harary: And that’s a great question. Because we have very predictable expenses which I think is a real hallmark of our business model. We have a lot of choices as to what we do with that capital. And at some point we become a royalty collecting and perhaps dividend paying machine because like I said we have very predictable expenses, it is not like we have to put money aside to build a new factory or something like that to replace an old one, our licensees are doing that heavy lifting. So really it does give us a lot of flexibility. Speaking personally as one of five members of the Board of Directors that makes this decision I’d like to see as once we start earning money returning some of that to shareholders in the form of a dividend. So that’s it and hopefully that answers your question.
Dallas Salazar: No that does, because sort of it's an embarrassment of riches question what you're going to do with all the money…
Joseph Harary: And that will be like apple and just pouring in cash.
Dallas Salazar: Yes, yes well if you do that, I’ll sneak a good chunk of it for you guys.
Joseph Harary: We will let you manage this.
Dallas Salazar: Yes that is great well I guess that answers the questions I had. I look forward to following the story in the coming quarters. Thanks guys.
Operator: And our next question comes from George Wohanka, a Private Investor. Please go ahead.
George Wohanka: Yes, have you ever considered inviting Kevin Douglas to participate in the presentations to shareholders I realize you may not want to?
Joseph Harary: I think his general style is to be very private and I doubt he would want to participate in that. Having said that, he has been a great investor in the company, he has introduced us to many key people that have been helpful to our business and I think he has really been an exemplary large investor in our company and has added value. But I appreciate the suggestion.
George Wohanka: I have two other quick questions, small hedge funds under $100 million don’t file 13Fs have you considered disclosing not the names of the hedge funds but any investments that they may make in Research Frontiers if they do?
Joseph Harary: To the extent that it's not public information, we have has little access as everyone else to that. So if they voluntarily want to disclose their position, we certainly try to keep track of it, but it's also something that most of them don’t want to disclose, but I hear what you are saying George.
George Wohanka: And have you considered any small stock repurchases to fund stock options and warrants or whatever and if it's legal this could be a way of overcoming some attempts to lower the stock price?
Joseph Harary: Well in the past we’ve had share buybacks, I mean it was a while ago since we’ve done that and maybe one of those uses that we talked about when we are generating cash is to do exactly that. So I think it's a good idea to consider when we start earning money and certainly we will.
George Wohanka: And just one final comment, I really think that this is one of the most transparent companies I’ve ever invested in and I think you’ve done a great job and I know that people point to 50 years without profits as some sort of negative, but I actually think you’ve proved that your business model has been spot on and no other company would have survived if they had some other model. Thanks a lot.
Joseph Harary: George thank you so much for those kind words, I really appreciate it.
Operator: And our next question comes from Neil Levin of NCL Financial. Please go ahead.
Neil Levin: I have three quick questions that are probably have very short answers. The first one is based on the percentage of increasing sales for the V222 that you expect in the fourth quarter. How much of that do you think will fall as revenues in the fourth quarter?
Joseph Harary: 100% will come into revenue and it’s safe to say we’re getting -- yes I am sorry, maybe I misunderstood the question.
Neil Levin: Well when a sale made and actual revenue is paid to Research Frontiers, so I guess what I am asking is how much of what is shipped in the fourth quarter will actually be paid as revenue in the fourth quarter, like how much…
Joseph Harary: I’d say most of it. What’s happened overtime Neil is that licensees are becoming closer and closer to just in time deliveries which is why I think you saw the V222 roofs because Asahi is that good at production coming at the end of the quarter as opposed to if this was their first rodeo it might have been in the last quarter that they had to start delivering just to make sure they could do it. So I think they’re pretty comfortable with the production processes and things like that. So there is not a lot of time that elapses between shipment and getting put on a car. I mean there is obviously inventory management and things like that that happen, but we don’t have any real foresight into what that would be.
Neil Levin: Okay, and…
Joseph Harary: Hopefully though [Multiple Speakers] about the fourth quarter is that there is this battle royal going on between Mercedes Benz, USA and BMW about who’s going to sell the most luxury cars in the U.S. and it becomes a very public event in the automotive industry. So, if anyone is looking to buy a Mercedes, December is probably a good time to make a deal.
Neil Levin: Well, I hope Mercedes wins that battle…
Joseph Harary: And if you buy one of course buy with Magic Sky Control.
Neil Levin: Well, that’s what I meant. The second question I have is something I had written you in an email and I just want to see if you can give me a quick answer. Basically we don’t get fourth quarter information until March of next year, and then on out to May for the first quarter of next year. Are you planning or would you consider planning to provide some interim updates on significant developments that have taken place instead of waiting until the end of a quarter to disclose information in conference calls.
Joseph Harary: Well we will always disclose material information as soon as it becomes public or as soon as it becomes known. Things like revenue though which is I think the thing that you’re mostly focusing on with your question, is something that we don’t often get until right before the end of the quarter anyway. So it’s not like we are sitting on this data and waiting for the quarterly call, it takes some of these especially the larger licensees quite a while to report things. But of course we’re going to try to say as much as we can as early as we can.
Neil Levin: But if you gave it at the end of the fourth quarter, December, and you have it then and we have to wait until March…
Joseph Harary: If I have it in December I’d be thrilled Neil but we don’t get it then.
Neil Levin: All right. The last…
Joseph Harary: Yes remember the end of the quarter is December, so they’re not going to report the results for the quarter until later.
Neil Levin: Okay and the last quick thing is a lot of companies are having their bottom line or their top line affected by currency fluctuations, has that happened with Research Frontiers and do you expect it will have any significant effect going forward?
Joseph Harary: The only licensee that pays us in foreign currency is Daimler and that’s for the electronic so it’s a relatively small piece of our total revenue pie. Most licensees have to convert into dollars and when they pay and also the euro has been relatively stable, it was fluctuating quite a bit last year. But it’s been relatively steady since for about a year now. So I don’t expect currency fluctuations to have any kind of meaningful impact.
Operator: And our next question comes from August Berman of Research Frontiers. Please go ahead.
August Berman: Hi Joe [indiscernible].
Joseph Harary: Right you’re not from Research Frontiers though.
August Berman: No, I am not I am sorry I said that.
Joseph Harary: Everybody is all of our shareholders technically are on the Company so I guess you are.
August Berman: Yes exactly. And so I wanted to know on the press release last several quarters it said that some of the sales for the SL and SLK decreased due to the fact that it’s an older model and that is expected and now that’s going to be a new updated model I think I don’t remember the exact name of that. But is that expected to have better volumes this quarter as well?
Joseph Harary: The SLC yes, and yes they’re up for a refresh on that which is also something that tends to bump up the volume. So when you typically see is when a new car comes out the volumes are fairly high because everybody wants the new one. It tapers off a little bit they do a refresh about midway which is typically 3.5 years into a model and then it tapers down a little bit and then they introduce another model 3.5 years later, so that’s -- you could expect maybe a little bit of a bump up.
August Berman: And then two questions just real quickly Lincoln Continental any update on that as far as it stands or if that’s going to be a it's a must have in all the vehicles?
Joseph Harary: We don't know yet, and Ford has been very close to divest about a lot of details on that car, I mean even things like engine size and pricing. So I think a lot of that is still left to be determined by Mark Fields and the group at Ford.
August Berman: And then just the last thing, do we have any idea in terms of E-Class potential in Detroit in the late ’16?
Joseph Harary: I don't want to comment on cars that haven't been officially announced by Daimler or by anybody by that matter, but the new E-Class is scheduled to be in Detroit according to some of the automotive press. We’ll see what happens, but right now we’re focusing on the S-Class, and where the V222 revenues are going.
August Berman: Okay all right that is all I have.
Joseph Harary: That’s actually an essential I think next step to get into the some of the lower price cars just to get some higher volumes from the S-Class to drive the prices down even further.
Operator: And our next question comes from Jerry Albert, a private investor. Please go ahead.
Jerry Albert: A quick question, in the past we've talked about Gentex’s adoption rate as a good model for what to expect getting through in the automotive market. And clearly that hasn't happened. And I wonder if you look at other technologies that have other analog that you think at this point would provide a better roadmap for what to expect?
Joseph Harary: I think each technology is going to its own characteristics. To some extent there are some similarities between us and Gentex in terms of with one model to three models and eventually into 300 models. Keep in mind that there are $45 component on a car and we’re at $2,500 to $5,000 component on the car. So you'd expect maybe some of the higher-end systems like Mark Robinson stereo system or a high-end NAV system or seats, seats, luxury seats and things like that to be a model. But quite frankly I'm not sure the adoption rates would be much different, there is companies that have made a very meaningful business servicing a growth in the luxury seat market for example. So I still think that we’re well on our way to that kind of success.
Jerry Albert: I know that V222 SPD glass option is available in Europe for December deliveries? It's not yet available in the U.S. do you still expect it to become available in the fourth quarter for spring 2016 delivery I don’t know if you can say but?
Joseph Harary: Maybe sooner than that. They haven't released a dealer buying guide or put it on the configurator yet in the United States that maybe happening as we speak. But it is available on the configurator for Europe which I think is interesting and I think that if the next car you buy is an S-Class you put Magic Sky Control on it.
Jerry Albert: Yes the aftermarket on the rear window is too for the kdis?
Joseph Harary: Yes [indiscernible].
Jerry Albert: When you say that the other automotive OEMs are looking at the success of the S-Class with Magic Sky obviously Daimler leaks money on the option, just as a standard option I assume the margins are actually pretty good, what are they looking at are they looking at reliability are they looking at secrets are they looking at everything?
Joseph Harary: Yes every car company has development costs that you want to recoup from an option and they just want to know that it's not going to flop and so far every model it has been on it's been a success, so I'm pretty confident that they'll see the same thing that Daimler saw which is this is a very nice thing to offer your customers in terms of comfort, in terms of energy efficiency, in terms of enhancing headroom, and other things and making the car just a much more enjoyable vehicle to be in. So and if they don't have it, they'll lose sales. So I think that the success on the S-Class is going to be just very apparent to them.
Jerry Albert: And I know you don't want to comment on specific models, but I'm going to ask anyway about the Tesla X and whether there is some regulatory issue at the windshield that didn't end up using a SmartGlass?
Joseph Harary: You could do whatever you want above the AS line on windshields which is the typically where the blue band is on a conventional car, I can't speak to why the X did not come out with a different type of sun visor let's see how this chapter unfolds though.
Operator: And our next question comes from James Ashley a private investor. Please go ahead.
James Ashley: Appreciate all of the hard work here though and the question is we haven’t visited about bus applications and passenger train and commuter train applications and it just seems to me like those are huge opportunities too.
Joseph Harary: They are and there is -- and just maybe kind of give you a good quick answer to a good question. Our licensees are working in those areas and I think that they will be successful because those are very good markets for the technology.
James Ashley: I think that’s what I wanted to hear is that was a viable market and that you guys had your fingers into it and there was some potential applications there that might bear fruit so.
Joseph Harary: Right absolutely. And our licensees like those markets too.
Operator: And our next question comes from Michael Kay of Kay Associates. Please go ahead.
Michael Kay: Is there any indication from the Mercedes Benz that they will have SPD windows as their standard since that they are doing so well in terms of take rates and its durability?
Joseph Harary: I'm sorry say that again.
Michael Kay: Is there any indication would you have any sense from Mercedes Benz that they will have SPD as standard instead of options on their different vehicles since it does so well in terms of take rates and durability?
Joseph Harary: Sunroofs are kind of a different animal than a lot of components that become standard even on the S-Class not a 100% have sunroofs, the panoramic roof is standard equipment in the U.S. which makes the only option if you want an option to enhance your sunroof, the Magic Sky Control. But there are some vehicles, but there are armored vehicles where they may or may not want glass on the roof. So I think we have to see how that adopts. Also it's a pricing issue, if you try to bring the car in at a certain price and then make up the profit with profitable option like Magic Sky Control maybe you keep it as an option so that you come in with an S-Class under $9,999, but actually are making more profit when people buy the options. So we’ll watch that one together.
Michael Kay: And also is there any concern about the expiration of certain key patents?
Joseph Harary: No, key patent don’t expire for a quite a long time and we always have new ones coming online. So we are constantly inventing and improving.
Michael Kay: Okay thank you. Joe.
Joseph Harary: Okay well I think that was the last question in the queue, so I am just going to make a quick closing remark. First of all just to reiterate that Research Frontiers’ achieved a number of significant milestones in terms of revenue, product introductions and substantially expanding the visibility of our SmartGlass technology. Last week the 6 millionth person had an opportunity to see and operate a smart window. Tens of thousands of car owners have enjoyed the benefits of SPD-SmartGlass everyday and now the larger volume cars namely the V222 S-Class and the first of a number of aircraft where we are standard equipment are beginning to use the technology starting in the third quarter that just passed. We expect higher revenue in the fourth quarter when we have a full quarter’s worth of production and also when the highest volume King Air the 350i comes online. Our licensees now sell the most smart windows in the world. And with the introduction of SPD smart windows as standard equipment on seven aircraft so far and the production of the Magic Sky Control, SPD-SmartGlass roof already having started on the new highest unit volume version of the S-Class Sedan, I think Research Frontiers has clearly reached and is moving through an important inflection point in our business. Together we and when I say we, I am talking about Research Frontiers and of course our shareholders and our licensees and their customers have built the world together where millions of people have already enjoyed the practical benefits of SPD-SmartGlass technology. And with more high volume cars, aircrafts and large architectural projects coming, these benefits will continue to be enjoyed and valued worldwide. I want to thank everyone for their support. Remember that while many of you have questions most of which were answered today. The quarterly conference call did not here only bite at the apple, we welcome your emails with questions in between conference calls and we always love to hear from you. So thank you again and I wish everyone a good afternoon and thanks again for your support.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.